Operator: Welcome to Sequans’ Second Quarter 2012 Results Conference Call. At this time all participants are in a listen-only mode, later we will conduct a question-and-answer session, instructions will be given at that time. As a reminder, this conference is being recorded. Before I turn the conference over to our host Mr. Georges Karam, I would like to remind you of the following important information on behalf of Sequans this call may contain projections or other forward-looking statements regarding future events or our future financial performances. All statements other than present and historical facts and conditions discussed in this call, including any statements regarding our future results of operations and financial positions, business strategy, plans and our objectives for our future operations, are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995, Section 27A of the Securities Act of 1933, as amended, and Section 21E of the Securities Exchange Act of 1934, as amended. These statements are only predictions and reflect our current beliefs and expectations with respect to future events and are based on assumptions and subject to risk and uncertainties and subject to change at any time. We operate in a very competitive and rapidly changing environment. New risks emerge from time to time. Given these risks and uncertainties, you should not place undue reliance on these forward-looking statements. Actual events or results may differ materially from those contained in projections or forward-looking statements. More information on factors that could affect our business and financial results are included in our public filings made with the Securities and Exchange Commission. Please go ahead sir.
Georges Karam: Thank you, Rosanne. Ladies and gentlemen, good morning. This is Georges speaking with Deborah Choate, our CFO. We are pleased to welcome you to our second quarter 2012 results conference call. First let me start by saying that we are very pleased with our progress during the second quarter. We reported sequential revenue growth at the high end of our guidance and with careful control of our operating expenses we limited our quarterly loss to the low-end of the range. We had a number of positive developments during the second quarter, one of the most significant was at the end of June we began volume shipments of all three chips belonging to our second generation LTE platform. I am very proud of our team’s ability to execute and achieve this important milestone according to our plan. In addition to the increase in LTE revenues, the second quarter benefitted from WiMAX shipment to HTC which we believe are to supply operators in Japan and Taiwan, as well as Sprint’s prepaid market in the US through Boost and Virgin mobile. The fact that HTC has placed new orders is certainly a positive sign but we continue to assume that WiMAX revenue will be lumpy going forward. Looking at our position in LTE, we continue to focus on a combination of near term and longer term strategic objectives and initiatives. We are very pleased with our progress on the technology side, as well as on the business front in penetrating customers and cultivating operators. On the technology side, we are continuously working on retaining our technology edge, which is fundamental to our competitive positioning. During the second quarter we had several important technology developments. First, we announced that we achieved a through sustained 150 Mbps throughput, or category 4 over a 20 MHz FDD channel with H-ARQ and encryption enabled, which are complex function that quite often competitors disable them to make similar demo. This shows that our currently shipping platform provides that highest possible LTE performance in a real world scenario. Thanks to our advanced 4G architecture and signal processing algorithm. Second, at (inaudible), we announced Sequans AIR, which expands for Active Interference Rejection, an innovative feature that will be offered by all our 4G chips. This interference mitigation algorithm can double network capacity and extend its coverage by tripling the throughput of users at cell edge. We will be demonstrating this technology later this year and expect this to be an important differentiator with operators dealing with the growing interference problem as network traffic grows in a spectrum limited environment. Finally, at another event in Asia, we announced the collaboration and demo of 4G voice-over-LTE. This capability will be coming increasingly important to operators as they will complete their LTE network build outs. Our advanced technology is being very well received by customers and we have now several design wins so far. We have now more than a dozen device manufacturers as customers, addressing the three market segments where we are putting most of our focus. Each customer is planning to introduce multiple devices which means at least 30 data devices with our second generation LTE chips should be coming to market. Let me now give you some updates on our progress on the business side according to each of the main segment we are focusing on. As said on our last call, the first segment we are focusing on is the broadband wireless access and Greenfield operator segment. Here we are making very good progress. Our main customers addressing this segment have their LTE product ready and sampling to carriers for testing and trials. They are introducing a variety of device form factors, indoor CPE, outdoor CPE kind of fixed devices, and more portable devices such as USB dongle and portable routers supporting all frequency bands required. The results of testing are very encouraging and reflect the performance and maturity of Sequans’ 4G technology powering these devices. The operators of this segment in India, Russia, Middle East and other countries are doing good progress and we expect to see revenues from this segment ramping with large network launches early next year. This may be a bit slower than originally expected, but we believe that the allotment of this market is still moving in the right direction. On another front and leveraging our dual mode WiMAX LTE offering, we introduced with the Greenpacket in June the industry’s first 4G WiMAX and LTE indoor access device. Packet One Networks, in Malaysia, will be one of the very first operator to deploy the new Greenpacket dual mode CPEs. This device is specifically designed to support WiMAX operators who will be making the transition to LTE. We are very pleased with the market reception and expect to expand this business in 2013. Building on the foundation of our historically trends in this segment, the BWOA [ph] and Greenfield operators are likely to account for an important proportion of our shipments over the next 12 months. The second segment where we are focusing on is the CDMA operators, such as Sprint, Verizon, and KDDI in Japan. Here we also have an opportunity to leverage our past experience with 4G plus CDMA to meet the needs of customers looking for a way to differentiate their devices using an alternative to the incumbent. We have made excellent progress in a short time. It’s only being a matter of few months since the availability of our latest (inaudible) of 4G chips enabling us to effectively address this large and important segment. In the second quarter, we announced our design win with Ubee Interactive, a customer building several devices targeting specifically this segment in the United States. We are doing very good progress on this front and we expect shipment to begin in early 2013. We also announced a strategic collaboration with Clearwire to support their wholesale LTE business model, with our TDD/FDD capabilities. Wholesale customers such as Sprint need a chip that supports both their main FDD band as well as Clearwire’s TDD bands, and most important, can also handover between FDD and TDD. Currently, we believe we are unique in offering this capability and we will be working with customers to deliver products for trials and testing. We are actively engaged with Verizon and Sprint to complete the sophistication of our product and to collaborate on innovations for future development. Note that Verizon is expected to achieve LTE coverage parity with their CDMA network by the end of next year, creating an interesting opportunity for single mode LTE devices in the future. The third segment we are focusing on is China, as you know, and where China Mobile is moving ahead on phase two trials for their TD-LTE network. This is an example of the need for 4Sight and long term commit to position the company in a key market. As you recall, we first became involved with China Mobile in 2009 and delivered our first generation TD-LTE chip over two years ago. This first generation chip achieved certification and was used for initial trials and IUD testing with infrastructure vendors. Our partnership with Nationz in China is moving forward. We are shipping the first quantities of our new chips for the second phase of large scale trials and we are on track for certification of our second generation chip shortly. As we mentioned in our last call, the phase two trials of China Mobile required dual mode quad-band devices in addition to TD CDMA, the devices must support TD-LTE in 1.9, 2.3, and 2.6 GHz bands, as well the FDD band 7 spectrum that China Mobile recently acquired in Hong Kong. Our solution will also be able to do a seamless handoff between the four bands and the three modes TD, CDMA, TD-LTE and FDD-LTE. On another front in China, we are engaged with other Chinese device manufacturers, not only to address the local market but also to target international operators outside China. We can’t much more about these new design wins at this point. The last segment as you know is the group opportunities represented by the 3GPP operators presently operating UMTS, WCDMA networks. Near term opportunities in this segment are limited because most of these operators are moving slowly and are looking for a very tight integrated multimode 2G, 3G, and 4G solutions. However, we continue to evaluate strategic alternatives for addressing this market as part of our long terms strategy. To conclude my comments, I want to say that we are making good progress toward reaching both near term and longer term objectives. First, we are now in mass production of our second generation platform, accordingly to schedule and delivering on the promise in terms of performance. Second, we are making progress with design wins in each of the three segments we are focusing on. And last but not least, we continue to strengthen our relationships with key operators around the globe and building our credibility through collaboration on advanced features and capabilities as the LTE standard continues to evolve. Now, allow me to turn the call over to Deborah to discuss the details of the financials and our guidance for the third quarter. Deborah?
Deborah Choate: Thank you, Georges, and good morning everyone. I would like to add some details about our second quarter financial results and the outlook. Revenues in the second quarter were in at the high end of our guidance at $7 million for the quarter, this is a sequential increase of 71% quarter-on-quarter and a 77% decrease compared to the second quarter of 2011. We shipped over 400,000 units compared to about 200,000 units in Q1. As Georges mentioned, during the quarter we resumed shipments to HTC who was our largest customer in 2010 and 2011. We had two additional customers above 10% in the quarter, and those were data device manufacturers targeting emerging markets. We have realized an overall gross margin at 54.2%. This is below the 57.4% in Q1 but well above the 46.6% we reported a year ago. The change in gross margin primarily reflects changes in the revenue mix. Product gross margin was 47% in the second quarter compared to 48.5% in the first quarter and compared to 45.7% in the second quarter of 2011. The sequential decrease in gross margin reflected continued low absorption of fixed production costs, and a less favourable product mix in Q2 versus Q1, but reflects a more favourable product mix and reduced cost compared to Q2 of 2011. We continued to focus on controlling expenses and specifically we recently reduced headcount by about 10%. Our operating expenses were 11.8 million in Q2 compared to 11.4 million in Q1 and compared to 12.4 million a year ago. The slight increase in Q2 compared to Q1 2012 reflected the restructuring cost of about $500,000 related to the headcount decrease. We expect the full benefit of the headcount reduction to be apparent in Q3 and we did not plan any further significant changes in the operating expense structure this year. Operating loss in Q2 which include stock based compensation expense was $8 million compared to an operating loss of $9 million in the first quarter and operating cost at $1.9 million in the second quarter of 2011. To facilitate comparisons we’ve also reported our results on a non-IFRS basis, which excludes stock based compensation expense from operating profit or loss. Our non-IFRS operating loss was $7.4 million in Q2 of 2012 compared to an operating loss of 7.7 million in Q1 and non-IFRS operating profit in the second quarter of 2011 up to $28 million. Basic and diluted loss per share was $0.24 in the second quarter compared to basic and diluted loss per share of $0.26 in the first quarter and zero loss per share in the first quarter of 2011 when we were breakeven. Non-IFRS diluted loss per share was $0.21 in the second quarter compared to a diluted loss of $0.22 in the first quarter and diluted earnings of $0.08 in the second quarter of 2011. Our non-IFRS results reached the high end of our guidance primarily due to revenues at the high end of expectations and a favorable revenue mix. Cash used by operations in Q2 was $6.4 million which appears to be about the same level as Q1; however, you may recall that Q1 included the recovery of three quarters of French VAT for over $2 million which has been delayed due to a tax audit, without this cash used by operations in Q1 would have been over $8 million. In Q2, we also used $2.3 million in CAPEX leading to a cash position at June 30 of $40.7 million compared to $49.3 million at the end of Q1. I’d also like to mention that this morning we filed a shelf registration statement with the SEC which should be online within hours. We have no immediate need for capital. This filing simply gives us the flexibility to tap the equity markets if required when we believe the timing is right, consistent with our previously outlined long term strategy to expand and diversify our product portfolio. Moving on to account receivable, at June 30 they increased to $7.5 million from $4.1 million at the end of March. This reflects DSOs of approximately 97 days compared to 89 days at the end of Q1 relatively high DSO was due to shipments being concentrated in the final weeks of the quarter, this is due to the current lumpiness in our business, but generally our customers pay within 60 to 75 days. Inventory decreased to $10.5 million in Q2 from $11.7 million at the end of Q1. Our current inventory comprises primarily WiMAX components and finished goods. We expect this to come down over time offset by LTE product inventory beginning to build. With respect to the WiMAX components portion of the inventory, we could find ourselves with a relatively small amount of excess or expired inventory, as we match up components with specific order requirements as we produce finished goods going forward. Looking forward, we expect revenues in the third quarter of 2012 to be in the range of $8 to 9 million with gross margin around 50% assuming an exchange rate of €1 equals $1.26. We expect non-IFRS net loss per diluted share to range between $0.17 loss and a $0.19 loss for the third quarter and this is based on approximately 34.7 million weighted average diluted shares. Our guidance for non-IFRS loss per share excludes stock based compensation expense which we expect to be at a similar level to that recorded in the second quarter. Now that we are in volume production on our new LTE platform we continue to expect to see our LTE revenues ramp during the second half of 2012 and into 2013. However, please keep in mind that a portion of our near term LTE business relates to new network launches which can affect the exact timing of orders and WiMAX revenues are likely to continue to be lumpy. And now we’ll be happy to take your questions. Turn it back to you [ph] Rosanne.
Operator: (Operator Instructions). And your first question comes from the line of Uche Orji from UBS Securities, please go ahead.
Parag Agarwal - UBS Securities: Hi, this is Parag for Orji. Hi George, congratulations on good results. First question about the LTE wins that you have with the new operators. Can you give us a sense of who this operators are, where they are located and if these wins were dongles or where this socket is going in.
Georges Karam: Hi Parag, thanks for the question. Obviously, as I mentioned all we have the dozen of customers we have building as I mentioned maybe in average around 30 devices because some of them they have 5 kind of devices multiple frequency and other devices, just to avoid any misunderstanding, all this is really about portable devices and sometimes as well as fixed devices such as USB dongle and portable routers. So, those are the kind of devices that our customers today, they have, they build and they are in design win. We continue making progress working on other kind of platform for embedded more for tablet and phone, but for the time being I cannot declare any design win on this option. And in terms of who are the operator using this, as I said the focus is really between the emerging BWE and Greenfield opportunity and here we are talking about India, Russia we mentioned in the past Brazil, Australia, Middle East and so on. We’re seeing more and more opportunity and quite honestly it is moving well in all the segments, but we need to recognize that all of them are building up. It is kind of trial, testing, small orders, so all that are not really important this year, but I am expecting them to come soon hopefully beginning of the next year and we as I mentioned US operator and here we are talking about specifically Sprint and Verizon, I mean there is nothing to hide here, but we cannot mention more exactly what devices hands on we have there, but one of the design win we announced it is there and hopefully we start seeing revenue from this again will be in the market I tend to say beginning of the next year. And definitely we have some revenues still coming from China because in China we have lots and lots of activity, the quantity there, in the thousands, it is not really a huge number yet, but it is a lot of activity preparation in the second phase trial. We expect bid by the way to come from China Mobile for the Q4 time frame. It will be a larger bid than the first one where we were part of it. Hopefully, we will win a portion of it and obviously expect this to expand next year where I believe even it will – all this flair will go to larger or initial deployment where we should expect to see maybe an addressable market of few million units there next year.
Parag Agarwal - UBS Securities: Can you provide some update on what is happening with Reliance in India?
Georges Karam: Yes, definitely. It is – we continue with the progress and testing and even we have some small order, our customer has some small order with Reliance. They are in the phase of only trial and testing, we expect to see some friendly launch in Q4 you know I mean at least this is what we were talking about. They talk about bigger/larger order to customers and they are still on-track. I believe to be in a big launch beginning of the next year during the first half of next year. So, in general it is, we feel a little bit mainly in India and other places that things are always taking longer time than expected. We were hoping them to be personally in very very large launch in Q4, but things are taking longer time than required, but they already are located, I don’t believe, they made an announcement so I don’t give the name, but I believe their infrastructure we know at least one winner who is deploying this network now and they are going to start with the big two cities deployment for to be ready with service beginning of the next year.
Parag Agarwal - UBS Securities: And Deb, just wanted to get a feel for OPEX and gross margin trajectory as the LTE shipments start ramping in the second half of the year.
Deborah Choate: Yes, I just want you to know we as I mentioned for Q3, we’re expecting gross margin to be around 50%. We don’t – there is not huge difference in gross margin between WiMAX and LTE. Frankly, what the impact we’re seeing and in recent – first half of this year which is still we have fixed production cost that they are what they are and what we have lower revenue levels at (inaudible) and obviously we expect to have some benefit as we go forward, but I think we continue medium term. Our gross margin target continues to be unchanged at 50% or better on an annual basis.
Parag Agarwal - UBS Securities: And of OPEX?
Deborah Choate: OPEX, we’ve done some optimization of the organization which resulted in a workforce reduction so we expect to see some impact of that reduction beginning in Q3 and as I mentioned no other significant changes trying to keep a steady control on OPEX now at a slightly lower level.
Parag Agarwal - UBS Securities: Thank you very much.
Operator: Your next question comes from the line of Quinn Bolton from Needham & Company, please go ahead.
Quinn Bolton - Needham & Company: Hi George, Hi Deborah, I just wanted a followup on Parag’s question, you did give a pretty good detail about what you are seeing in India, but do you have a sense how many units you think India could represent in 2013, I think you mentioned China could be a couple of million or China Mobile could need a couple of million devices, wonder if you had a similar estimate for India?
Georges Karam: While it is a little bit again the difficulty leaving India mainly is really to estimate this from how fast it will go. Reliance remained very, very aggressive in terms of plan and coverage because they cover all India and as you know and their business plan is really quite solid because essentially it is providing access to home with video and all this stuff, which is definitely a must-have in India for the people, as you know the infrastructure and the ADSL connection and so on. So, the real challenge there is to see if this is going towards what scale there will be in Q2 to reach that level, but our assumption today, we believe that India should be in terms of – again a couple of million units next year and I believe this will expand much larger once they finish their coverage.
Quinn Bolton - Needham & Company: And then you mentioned you are starting to ship some of the LTE devices and that was behind part of the second quarter revenue jump, is it at this point is it meaningful or can you us some sense of the split between WiMAX and LTE in the reported June quarter?
Deborah Choate: The revenue base is still predominantly WiMAX in the quarter. We had initial shipments of the LTE products for first customers who led the pipe and this is where some of the lumpiness problem comes in, but definitely in Q2 we’re still primarily WiMAX.
Quinn Bolton - Needham & Company: Okay. And then just sort of looking at HTC some of the business is for the prepaid guys, are you getting the sense that there is fairly stable demand or does that look like it is going to be a fairly lumpy business given the prepaid nature of that US business?
Georges Karam: Well, our assumption today, we are pleased that the feedback is positive on the reception and so on and that is why we were seeing orders as well for this quarter coming in. But you know, we remain cautious assuming that this will be lumpy because the nature of the prepaid, this is how it is. So, we could have one quarter, great quarter, the second one less and the following one back again to another nice order coming. So, this is our assumption today how we are driving our business. WiMAX initiatives this week.
Quinn Bolton - Needham & Company: Okay. Turning to the LTE markets, Sprint and Verizon, you said you were working with both carriers currently to gain network certification or qualification. Any sense of timing if you have, I think you said expectations for devices to be on the market early next year? I am assuming that the network qualification happens sometime in the second half?
Georges Karam: Absolutely. We are in the process. I mean, it’s within finishing to our end. So, yes, definitely we will finish this, this year.
Quinn Bolton - Needham & Company: Okay. Great. And then just lastly on the competitive front, wondering if you could just kind of give us your view of the landscape between yourselves, GCT, Altair, some of the LTE-only folks that, that maybe pursuing some of the same – kind of wondering what you are seeing from them in terms of pricing or if anyone’s being aggressive or irrational with pricing. And then, secondly, I know you guys have always had a very small die size low power consumption, but perhaps you could sort of give us your view on how you stack up relative to those LTE-only competitors in terms of things like die size, cost or power. Thanks. 
Georges Karam: Interesting question. I mean, allow me also address this at least on the call (inaudible) I will be pleased to take it one-on-one for more detail, but just to go fast on this, we see the two of them in the market. The general remark about it that both of them, they have old generation technology, which is obviously those guys they came to the LTE market to their chip before us, because we were focusing more on WiMAX and getting the TD-LTE in China. So, we have very advanced chip today. The other guys are working really in pressure. We believe that our diecast, die size, if you want an optimization, still today, the best we can see from the market, not only with those guys but as well comparison to other big players. And this put us in a good position not to be scared at all from the price war, we are ready for it. Obviously we are trying to keep rationale in this business and for the best interest globally for all the players, but we are in a good shape there and playing well.
Quinn Bolton - Needham & Company: Great, thank you.
Operator: Your next question comes from the line of Lee Simpson from Jefferies. Please go ahead.
Lee Simpson – Jefferies: Hi, good morning everyone. Thanks for taking my questions. Maybe just sort of three quick questions if I could, just curious to hear what the feedback from customers had been with your category 4 chip? I mean, it still looks like your one of only a small bunch of guys out there with something to sample in category 4, maybe with the exception of (inaudible). I wondered if there has been any sort of compassion between yourself and – anybody else with design sketch for category 4? 
Georges Karam: I tend to say without being confirming this at 100%. I believe we are unique with category 4, really category 4, because again, the game of all this is really you can always disable some of the complex features and get horsepower in your chip and boost it a little bit and get torque. The reaction we have from the infrastructure vendor with whom we did those testing, we did with many of them, they love it, they see if it is opening other doors for us, because many people are calling us because some of the operators, they need category 4, and because this is a must-have. So, it’s always a game. So, today we believe that our design is really built to be as wire speed if you want, or wireless speed, whatever it is. So, we don’t have any issue to enable all of the features and the chip and support the 150 megabit down and 50 up in the same time. So, this is really a big value for us. We are pleased with this. We are seeing very positive reaction even in terms of design win on this, and we have some support going in it, and one of the condition is really to prove the category 4. So, we have seen some announcement where we are able to say closely they reach category 4, because you know, the category 4, you can say up to 150 or near 150. We really exceeded the 150 megabit to show it to many people and this is with full feature, and this is really a big plus. And we continue to push this, because it’s not only the differentiation, we are really – it’s a question of optimizing power and die size, but also deliver the best performance and we will be coming more and more in the near future with some advanced features that are carriers are looking for, and excited to see sooner than later, and this is giving us good pull with customers, because when the carrier is asking for something, you can have OEM, ODM getting more interested in working with us to get the advantage of this feature.
Lee Simpson – Jefferies: Very clear. And maybe just sort of continuing that seam about differentiating capabilities that you have. It’s clear that some SOC players or larger chip makers, should we say, are looking around and falling around for various differentiating assets or assets at least that may plug a hole in their portfolios. We have seen a large Korean vendor, chipmaker for instance, buying CSR’s mobile assets recently. I mean, is this something that you see the sign to roll into LTE space, perhaps larger chipmakers taking interest in capabilities you guys would have? Is there anything you can sort of see around that space?
Georges Karam: I don’t know what I should say. I mean, this is definitely, the market, it’s really shaking globally. As you see, this vertical European integration, you have all the ups guys and the Foster guy now becoming more and more (inaudible). So, even a lot of things will happen in the future, in my opinion, all this industry maybe shaped up. And obviously a part of this, we have this strong, as it is, strong differentiation, and we could participate to this restructuring of the industry. That’s all that we can say on this, we cannot more, obviously, but good question. I mean, good remarks, I can comment more about it, good remarks. 
Lee Simpson – Jefferies: Understood. Appreciate your kind of there, nonetheless. Maybe just going back to the announcement that you talked about with Clearwire in support of their wholesale business, to like the Sprint. If I heard you right, it was TDD to FDD handles. Can you maybe just walk us through what’s the sort of level of development there, when can we see or when can we expect sales, and what is the nature of a sales delivery there? I mean, is this going to be heavily around 2014 or could this be 2013-type story?
Georges Karam: I believe, you know, you need to see there, the collaboration to this really, the way we are representing this is really collaboration on the technology, helping Clearwire and helping the ecosystem, and essentially for us creates value by being the first move around this, starting the parameter, the optimization, how to play the standard, because if you look to vendors, see how they build the top on LTE, for a while, no-one to care about TD-LTE. Everybody was building FDD and suddenly, one day, China Mobile said I need TDD. So, all the Chinese were building TDD, and now, when we look around us, it’s LTE and TDD and FDD – so many, many of the guys, they don’t have the capability to have in the same device and the same time. It’s not because we hear that ship TDD more or FDD modes, but at the same time, the same software are running the two modes and be able to hand off into two modes, and it happens for us to build from scratch the TDD/FDD at the same time and have this ability kind of obvious for us to support it. We are leveraging as well the multi-frequency band, because we have very, very big frequency band that can support and we can do within very efficient way in design. So, we are doing this for Clearwire to enable them in the wholesale, like the Sprint will be in our – Sprint, they announced, by the way, that their devices for the next year will not be supporting only their band 25, which is FDD band, they need to have the devices supporting as well, the TDD band, the band 41 of Clearwire. And definitely, this positions us in a good position there, but they are looking always for other wholesale business. And from there, so this is the business with the normal carrier, but you are getting this, thanks to the advantage because they are using Clearwire. In other words, Clearwire is not the end user of our device, it will be, if you want the Sprint user, if you want using this, but obviously, Clearwire, they are under WiMAX network, they are evolving plenty. They have their retail business and can open as well for us direct business with Clearwire with LTE. And in terms of timing, I believe this is as I said, for next year, because Clearwire, they are building their network, LTE network to be ready for next year. They have commitment to the Sprint. So, something at least will happen, even if the coverage is not – will not be on the U.S., because it’s kind of hotspot network. They are building this in their city. So, the timing announced, like you are aware, I believe is mid next year to have it ready, the network, and Sprint announced, for the devices for them next year, beginning of the next year, should support the two bands.
Lee Simpson – Jefferies: Perfect. Thanks so much for those answers. Thanks.
Operator: All right. Your next question comes from the line of Jay Srivatsa from Chardan Capital Markets. Please go ahead.
Jay Srivatsa – Chardan Capital Markets: Yes, thanks for taking my question. Georges, focusing on the WiMAX, looks like the sole handful of operators who appear to be expanding their footprint in the WiMAX. Can you give us some update on where that’s going and how involved you are with that?
Georges Karam: On the pure WiMAX, I don’t believe that there is a new operator building that network, and they may complement their network because they put all the investment in WiMAX. And honestly, the way I look to it that it will not go off, out of the table next year. Even I tend to say that in some places, it will stay 10 years and not only one year, because if I give, for example, Japan where you could see where they have 3 million subscribers today on WiMAX. The frequency they have, they need to operate WiMAX on it. So, by regulation, the regulatory, they cannot change. So, you will have a network like this, and you will have WiMAX evolving there and obviously on our side where we will continue supporting this, we announced even this to our customers that we will remain, we will not end of life to WiMAX, we will continue supporting this and even if the big players are ending of life their product, this will be an opportunity for us to take more of their market share, even if the market will be small, but we will take it all. We are seeing as well very nice development, I mentioned, which is some of the pay operator, like for example, Packet One in Malaysia who is very successful operator in the WiMAX, those guys, they took already decision to move to LTE, and they loved the story, but they don’t want to switch off WiMAX. So, they developed LTE on top of WiMAX , and obviously the dual mode device that we really, very honestly, we bet on it last year hoping that this will become something nice, it seems that it’s very positive. Now, people, we have a product, announced green packet. The product is trialing in Packet One today and we believe it will be used beginning of 2013 at least on Packet One. And we are seeing fraction around other operator in the WiMAX community that they love this product because it’s future proof for them in LTE. So, they can allow them to smooth the transition from WiMAX to LTE. And for us, again, it’s nice opportunity because as of today, we are kind of unique offering the dual mode device.
Jay Srivatsa – Chardan Capital Markets: All right. On the LTE side, in terms of product development, where are you in terms of looking at backward compatibility with 3G and where are you in terms of developing products that could be more integrated with the LTE platform as you look at 2013?
Georges Karam: Again, the way we are addressing this for the short term in terms of focus today is more to leverage the good things we have it on the 4G, and we have many phases there where we can build multi-mode devices, even if we don’t have a multi-mode chip, we have multi-mode devices, as I said with CDMA, with TDMA CDMA and on top of single mode where we are able to handle, all the software integration between the two modes. Obviously, in the long run, we can question if we should integrate 2G, 3G in a single chip for cost optimization. We are – 3GPP carrier where the guys really, AT&T mode, let’s say where this integration is a kind of must-have, because you need to read the protocol and so on. We are keeping this opportunistic for the time being on this level. And at the same time, we didn’t drop that we continue having on the plan a way to differentiate and find the right way to get the kind of multi-mode technology in the company, addressing special need and special segment. And I don’t want to be and very honestly, and this is obvious I believe to everybody, Sequans cannot be a ‘me too’, come two years later after all, and say, okay, I have now all where the other guys are building, we need to be a little smarter in this. And on the other side, when you look to the market where it’s heading, we look to Verizon today, they are almost in terms of cost this year, they are close to 270 million. Their expectation that next year, they will be on parity with CDMA coverage. So, once we have an operator covering 3G equal LTE, while you can still argue why you need to keep the CDMA and pay a royalty, pay IPR on it, pay cost on it, when your LTE can give you everything. So, again, if you look to the future, you say, future will be more single-mode. If you look to the past or the present, you say multi-mode is big plus, because it allows you to provision, and we are in the middle of this and it’s question of timing and optimization.. So, we continue to have this on the table, but cannot say, I cannot say much today about our final plan.
Jay Srivatsa – Chardan Capital Markets: Fair enough. In terms of Q3 product mix, you mentioned Q2 primarily WiMAX , but you also mentioned you are now in mass production with your second-generation products. How do you expect your Q3 product mix to be between WiMAX and LTE?
Georges Karam: You know, when I said mass production, we have decent shipment of LTE still there in Q2. So, that’s some percentage of LTE business already in Q2 because we shipped in June, mass production product to feed the pipe for few customers, and we expect this to continue in Q3. So, I tend to say Q3 will be similarly more, (inaudible) revenue there. But it will stay dominated by the WiMAX in terms of numbers, let say it will stay dominated, by large, by WiMAX, but we are in a mode where we are not any more sampling thousands of units. If you want, when I say mass production, we are in a mode where we have customers to whom we are shipping maybe multiple of 10,000 or whatever, I mean, 10,000, 20,000, 30,000 units to those customers.
Jay Srivatsa – Chardan Capital Markets: Okay. Deborah, in terms of the OpEx, following the restructuring, what kind of savings do you expect to be able to gain in terms either in dollar terms or in percentage terms on a quarterly basis?
Deborah Choate: It’s reflects about a $500,000 savings.
Jay Srivatsa – Chardan Capital Markets: On a quarterly basis?
Deborah Choate: Yes.
Jay Srivatsa – Chardan Capital Markets: All right. Last comment, last question on the writedowns in terms of inventories. When do you expect to be wanting to do that, and again, what percentage in terms of overall inventories do you expect to have to write down?
Deborah Choate: If we knew that, we would have already written them down. I think what we are seeing is that we have components as well as finished goods, as we build out the final finished goods depending on whether if we order in addition, if we have higher volumes, if we don’t, there could be some mismatch of some components. We are expecting that any impact will be certainly small. But we don’t have – at this point, it’s too early to calculate. 
Georges Karam: We are not expecting big stuff. Very honestly, even if we ended with a little bit more inventory than expected on the WiMAX or what usually we have because we were in a very, very big ramp up on STC. The way we are looking how we will exit the year, you know, in terms of WiMAX and so on, we are okay. It’s not like, okay, we have big problem in inventory, but obviously Deborah wanted to mention here that we could have some small write-off there that they can change the number a little bit for you. So, hence the remark of Deborah.
Jay Srivatsa – Chardan Capital Markets: Thank you very much. Good luck.
Georges Karam: Thank you Jay.
Operator: Your next question comes from the line of Stephane Houri from Natixis.
Stephane Houri – Natixis: Yes, hello. This is Stephane Houri from Natixis in Paris. Basically I have the same question as previously asked about the possible consolidation, CSR and Samsung deal, and I was basically wondering what, in your view, do you have more to make, the new customer to make you as a very nice target? And in your experience, in the end, the DRT market will need how many supply, this is the first question. The second question would be on the cash burn and on the impact of the cost-cutting you made. How will it impact the cash burn going forward? And the next question is a bit hard to answer. I know about Q4, but according to what you have got right now in backlog and the contact that you have, do you see any further sequential growth in Q4 versus Q3? Thank you very much.
Georges Karam: Well, going back again to the first question, we are obviously, and this should not surprise anybody, I know that any company is always a target for M&A and merger and restructuring and any management team should do the best for their shareholders and we will do so as well. But obviously, we have been building our company just only looking outside to see who will buy us. And even if I talk about it and willing to brainstorm and listen to a tiny opportunity is not the way I am driving the business. I am driving the business to have the company sustain and building up, I am doing so by creating value to the shareholder, building, creating business and technologies. On the technology today, Sequans is one of the few that has LTE technology and I believe are at the top in terms of performance and so on. It’s really -- you need to keep in mind that our second generation platform and start playing in FDD mode and so on. We start doing this really in Q1. So, it’s like we are getting our product finally and for whatever history you understand and you understand the logic we had WiMAX LTE because LTE is able to come here, we are maybe a little bit late by coming with the – as I wish, I will say, but even now when you look to all the big players it’s very very hard to name more than one or two who have serious decent technology today that they can claim in LTE and even though you find them it’s not category 4, it’s category 2, sometimes it’s category 3, and even the guys who have category 4, it’s a false category 4 and thereby their performance. So, obviously by creating this we remain an interesting company for a guy who realize that for him it’s good to get the LTE by partnering with Sequans or do something else with Sequans, or for a guy who failed to execute on his plan to come to Sequans as gap filler or to do more strategic stuff with us. So, definitely, we remained – and again you need to keep in mind that LTE, and this is – I insist on this quite often – obviously people when they say LTE, everyone say okay, LTE is done, we have LTE, there is LTE chip, there is nothing done. People are talking about release 8 today and to some extent maybe release 9. We have roadmap for next year, we have chip for next year, we have the plan, we are executing on it and so on. So, even the products that we have in hand which is great already, we are building up on it, adding more feature and building more next generation too push for release 10 and 11 carrier aggregation and all this. So, it’s a way to go, you know, building value and we will see what it will come, but the first I am looking for is to build my business and have the company healthy on the financial side so I continue the journey as long as I can as a standalone company.
Deborah Choate: Not to mention, cash burn, I think you will notice it in Q1, Q2, our cash burn stands pretty closely to our operating loss and we don’t expect that trend to change. As I have already mentioned, the headcount reductions we did, we expect to have cost savings of about 500,000 a quarter so that that factors into of course the operating, the expected operating results and therefore the cash burn. And I think in terms of looking out beyond Q3, we really can’t give guidance beyond one quarter out. That said, part of that as we mentioned in the prepared remarks of the conference call we are really at the beginning of these markets since there is quite a bit of lumpiness in the business, but we remain very confident in the ramp-up of the LTE business and the prospects for growth there going forward.
Stephane Houri – Natixis: Okay. And if I may, a last one about the line other revenue which is a bit higher than the recent quarters, could you specify what is in it?
Deborah Choate: Other revenue always represents the same thing. It’s that when we sign licenses and we have annual software maintenance revenues that come in there. So, we had some new licenses signed in the quarter that brought the other revenue line up.
Georges Karam: Well, typically when we have a design win, when we sign a customer you could have some licensing revenue and on the continuous basis as Deborah mentioned, you will have the maintenance. So all of this adding in other revenues. It’s software product.
Stephane Houri – Natixis: Thank you very much.
Operator: The next question comes from the line of Tristan Gerra from Baird, please go ahead.
Daniel Marquardt - Robert W. Baird: Hi, this is Daniel Marquardt on behalf of Tristan. Wanted to get a feel for when you believe LTE shipments will crossover as a majority of your, the first question. The second question is when in Q2 did we begin shipping WiMAX HTC? Thank you.
Georges Karam: I didn’t get the second one.
Deborah Choate: When did we begin shipping, they used to say it was really at the end of the quarter. Thank you. And the first question George of LTE?
Georges Karam: I mean hopefully looking to the if I compare the two market between LTE and WiMAX and we are hoping that as soon as, maybe if it’s not Q1 and Q2, we should be in a situation where LTE is bigger than WiMAX. I mean definitely it should be much bigger than WiMAX. If I give an indication where it is crossing and also we are ramping up LTE now and mid next year, we should be in situation where things start to be equal or rough equal, between one extent.
Daniel Marquardt - Robert W. Baird: Thank you.
Operator: And you next question comes from the line of Hanna Wakim from UBS, please go ahead.
Hanna Wakim – UBS: Thank you. George, quick question please back to the Samsung situation. Do you expect Broadcom to be the affected party here, and do you expect them to counteract somehow? And if you don’t mind, your last recent appointment to the board is a very stellar name and the space, if you can color that for us a little, it will be very much appreciated.
George Karam: Yes. Having on the Broadcom today, where else I don’t have any specific, it looks like a little bit more late in their technology. It is not for me to comment on this, but I don’t’ see them very honestly aggressive in the LTE space. I know that they continue work on this, they did an acquisition and they are working on something they announced, but they are doing some testing. But if I compare them to other guys, it’s much less aggressive, so this is all I can say. And definitely this is a good question to take it for the announcement of the board. I’m really pleased to have Gilles joining us. Gilles Delfassy, who is back. I should say behind TI Mobile [ph] originally and then recently he was the COO of ST-Ericsson. I used to know Gilles Simpson sometime we have discussion together and obviously when he joined us there, it was a little bit we went on to different we had coffee presented – I would say, to work together but once he get free from ST-Ericsson, I was very pleased to make for him the offer to join our board, and definitely he had a big value. Maybe allow me to say one word about our board. We have really great board working extremely well with a lot of stellars there and not only Gilles, whether it is (inaudible), the experience with big company running ex-CEO’s and so on, and are really big big value for me taking forward this company and adding color to the strategic positioning, and support me and support the management. So definitely Gill is a big plus because he’s really specific to the Silicon. So if you looked all our previous board, they have lot of stellar but they maybe, all of them were not in the Silicon business wireless Silicon business. So here we have one guy who is really wireless Silicon business, he knows all the problem that they have them, and this is really a big plus for us.
Operator: Any further questions? Alright (Operator Instructions)
George Karam: Thank you very much guys for all your questions, your presence then to this following us, and looking forward to keep that dialogue and having you on the next conference call, bye.
Operator: Ladies and gentlemen, that does conclude our conference for today. Thank you for your participation and for your using AT&T Executive Teleconference. You may now disconnect.